Operator: Greetings, and welcome to the Federated Investors First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr. Ray Hanley, President of Federated Investors Management Company. Thank you. You may begin.
Ray Hanley - Investor Relations: Good morning and welcome. As usual, today we will have some remarks on the quarter before opening up for your questions. Leading today's call will be Chris Donahue, Federated's CEO and Tom Donahue, Chief Financial Officer. And with us are Dennis McCauley and Lori Hensler from the Corporate Finance Group. Let me say that certain statements in our presentation will constitute forward-looking statements, which involve known and unknown risks and other factors that may cause the actual results to be materially different from any future results implied by such forward-looking statements. For a discussion of the risk factors, see the Risk Factors section in Form 10-K for the year ended 12/31/07 and other reports on file with the SEC. As a result, no assurance can be given as to future results, and neither Federated nor any other person assumes responsibility for the accuracy and completeness of such statements in the future. With that, I will turn it over to Chris to talk about Q1.
Christopher Donahue - President and Chief Executive Officer, Director: Thank you, Ray and Good morning. I will begin by reviewing Federated's recent business performance before turning over the call to Tom to discuss our financials. Starting with the cash management business, money market assets grew by nearly $41 billion or 17% from the prior quarter and increased $92 billion or 49% since Q1 '07. In addition, the strong growth in the money market mutual funds, we added a $10 billion Florida cash mandate last month. Money market assets have continued to grow adding another $5 billion or so, so far in April. Generally, we see money market asset declines in the industry and at Federated in April due to tax payments before beginning to grow again. We also have some seasonality related to the collection and usage of tax receipts by government entity that impacts cash separate accounts. Typically, we see a decrease in these assets in Q2 and Q3 before building up again in Q4 and Q1 and so on. We continued to see growth across channels and much of the inflows coming from the wealth management and trust channel. Fed easings and the prospects for further rate cuts are helpful, but are only part of the overall equation. Our client base considers the quality of our products and services and the strength of our credit work is key points in determining the placement of assets they control. Our highly experienced team of portfolio managers, analysts, traders, continued to perform exceptionally well in the tough market conditions over the last several months. There has been a lot of attention on SIV investments with recent questions coming on the sigma structure. We have continued to see the winding down of disposition as the notes mature. We have received all payments, when and as due, and expect to continue to be paid in full from these investments. Our remaining exposure is approximately $1.2 billion and we will be down to about $650 million by the end of May, with the remaining exposure gone in August. We continue to believe that credit quality within the sigma structure remains strong. We remain comfortable with the credit quality of all of our money market investments. In terms of market share, we believe that we have continued to gain share. As always, we think that longer views of market share are more useful than short-term figures and we expect to continue to grow our market share over time. Now, the persistency of the assets that we have gained recently is difficult to forecast. In past periods of accelerated money market growth, we have, however, experienced higher highs and higher lows. And we expect this type of trend to continue. Turning to equities, assets decreased from the prior quarter due mainly to market depreciation. Net outflows from equity mutual funds decreased from the prior quarter. For equity mutual funds, net redemptions were $291 million, down significantly from the prior couple of quarters. Interestingly, about two-thirds of this total was from our index funds so that our actively managed mutual funds were not far from break-even on net sales during an especially difficult quarter in the market. Of course, our goals remain higher than break-even because returning to positive equity flows remains among our highest goals for 2008. We hit an important target in Q1, with average monthly combined gross sales of equity and bond funds averaging over $1 billion per month, up from an average of about 850 per month during the last couple of years. Each sales channel recorded significant increases in sales from the prior quarter and from Q1 '07. Among mutual funds, the InterContinental Fund was our top selling equity fund on a net basis during the first quarter. Launched in August, following the acquisition from Rockdale, the fund is a key addition to our international fund product line, assets are well over $900 million, up from $366 million at acquisition. The new Kaufmann Large Cap Fund was launched in Q1 and was added to the various selling agreements with intermediaries during the quarter. Outstanding first quarter performance has been logged and though it is early, we are seeing positive flows, about $17 million in this product. The contrarian Market Opportunities Fund returned to net inflows in the first quarter. Outflows remain concentrated in the index funds as I mentioned, and in large cap value. Overall net outflows of our equity funds are running on a lower pace for the first three weeks of April compared to the first quarter. Turning to equity separate accounts, we won four MDT institutional accounts within Q1 that will fund for about $300 million. We continue to see a lot of interest from consultants and institutional investors in the MDT strategies. We had one client reallocate about $100 million from one of our institutional equity separate accounts in Q1, due to an asset allocation decision. Now, MDT's SMA strategies did have net outflows in the first quarter, as we continue to work to increase sales following the '07 reopening in the major broker platforms. MDT total managed assets closed the quarter at $8.1 billion, up about $1.4 billion from an acquisition in mid 2006. As we discussed last quarter, we have expanded distribution for our strategic value SMA product with its recent addition to two of the top wirehouse broker programs. Flows were negative in the first quarter, reflecting market conditions for portfolios like strategic value that emphasize dividend-paying stocks. Federated's total SMA assets stood at $9.4 billion at quarter end, which is down about 10% from year end. Overall, equity separate accounts including the SMAs and the institutional accounts had about a $400 million net outflow during the first quarter. On the fixed income side, Federated continued to navigate difficult credit markets very successfully. During the first quarter, our fixed income net fund sales turned positive, hitting $263 million to the good. Our total return bond strategy continues to be highly ranked in its Lipper categories. Top 28% for Q1, top quintile for the one-year, top docile for the three, five and ten years, all ended 3/31/08 and this produced very solid inflows. Our U.S. government, one-to-three and two-to-five year funds also have had very strong performance records and produced solid net inflows. As of April 23rd, our managed assets were approximately $344 billion, including $280 billion in money market, $38 billion in equities, and $24 billion in fixed income. Money market mutual fund assets stand at about $247 billion. Looking at investment performance, we continued to see strong results in a number of areas, in both equity and fixed income. Using quarter end Lipper rankings for Federated's equity funds, 78% of rated assets are in the first or second quartile over the last year, 80% over three years, 78% over five years, and 63% over 10 years. For bond fund assets, the comparable first and second quartile percentages are 71% for one year, 78% for three years, 81% for five years, and 77% for ten years. Let's discuss distribution. In the wealth management and trust market, money market assets grew by over $19 billion, driven by gains from institutional clients in the bank trust and capital markets channels. In the broker/dealer channel, money market assets continue to grow, gaining about $4 billion during the quarter, including additional growth from Edward Jones and others. In the global institutional channel, assets grew by $14 billion, including the $10 billion cash mandate from the state of Florida. We have launched an active effort in Florida to communicate with the investors and the local government pool. Our goal is to restore confidence in the program and enable the assets to come back into the program. We are also actively seeking cash management mandates from other states. Beyond cash, we continue to have elevated activity for RFPs and final [ph] presentation, reflecting the strong investment performance in a number of areas. Within equities, the MDT strategies continue to compete well for new institutional equity mandates, as I mentioned. On the acquisition front, we continue to evaluate candidates for both consolidation and center of excellence deal. Tom?
Thomas R. Donahue - Chief Financial Officer and Treasurer: Thank you Chris. For the first quarter, revenues increased 16% compared to Q1 '07 and 2% from the prior quarter. The increases were due mainly to higher money market assets offset by lower equity assets due mainly to declines in the equity market. One fewer day in Q1 resulted in $4.3 million less in revenues compared to the prior quarter. This revenue decrease was partially offset by $1.2 million in lower related marketing and distribution expense from the one less day. The mix shift caused by significant growth in money market assets combined with decreases in equity assets lead to a reduction in our blended realization revenue rates. Compared to the prior quarter, Federated voluntarily waived an additional $1.9 million in potential Q1 fee revenue to absorb higher money market fund expenses primarily for registration expense related to the growth of assets in these funds. These voluntary waivers were done for competitive purposes and were not done in order to maintain positive yield. Federated incurred a net reduction in operating income of approximately $70,000 from fee waivers and related expense reductions over a couple of days in mid March in order to maintain positive yield on a handful of funds with significant Treasury back repo investments. The yields on these investments temporarily dropped to record lows due to unusual conditions in the Treasury repo market. These conditions have not recurred since and we do not expect them to occur again. We expect to incur approximately $2.6 million in additional expenses in the second quarter, to cover cost related to making certain changes in fund perspective language. On the expense side, comp and related decreased from the prior quarter due mainly to the $15 million expense in the prior quarter from the new Kaufmann contract. Q1 included $1.7 million of related payments, which are expected to continue at this level each quarter for four years. Q1 also included $1.2 million in additional expense related to the 2007 incentive compensation payout. These were higher than the level we accrued for in 2007 due to improvements in investment performance, assets and earnings. Marketing and distribution expense increased from the prior quarter and from Q1 '07 largely due to money market fund asset growth and to a lesser extent from changes in the terms of distribution contracts with certain intermediary customers. The reported operating margin for the quarter was 29.8%, a loss of equity revenues in Q1 mainly from the market decline, lowered the reported margin by about 3.6%. On the balance sheet, cash and short-term investments were $183 million at the end of the quarter. We raised our dividend again selling the pay out at $0.24, a 14% increase. We continue to generate strong free cash flow and expect that we will continue to use cash for acquisitions, dividends, share repurchases and capital expenditures. We would now like to open the call for your questions. Question and Answer
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from William Katz with Buckingham Research. Please state your question.
William Katz - Buckingham Research: Okay. Thank you, good morning. I have got a couple of them actually. I'm just wondering in the text of the press release, you talked about some changes on the expenses related to changes in distribution arrangements with some of the distributors. Could you maybe little more detail around what those changes are and the magnitude of those changes?
Christopher Donahue - President and Chief Executive Officer, Director: But what... we referred to it as the minor part of the change there and it is just redoing contract with our clients and we don't really want to go into the details in them though, Bill.
William Katz - Buckingham Research: Have you raised the distribution channel?
Christopher Donahue - President and Chief Executive Officer, Director: Yes.
Ray Hanley - Investor Relations: Hi Bill, this is Ray. There is nothing new or different there that keeps pressure essentially from the intermediaries on distribution of all products is sort of permanent support.
William Katz - Buckingham Research: Okay. Second question has.. goes back to the state of Florida mandate, I guess that's been sort of priced out about 2.5 basis points. Just little curious if you could talk a little bit about the strategy around chasing that kind of product, is that profitable, or is this very much like what you tried to do in Georgia where you tried to get the count and cross-sell product, I think that one had mixed results if I recall correctly.
Christopher Donahue - President and Chief Executive Officer, Director: You mean, in Texas... so, we will be happy to manage money for Georgia as well. But, Texas been very successful, Bill, if you look at the track record there, we talked about seasonality. That account initially would range between $11 billion and $15 billion or $16 billion. And now that's more like the low end of the range and it goes up into the 20s and you could see that in our institutional separate account line. We did expand the product line there but with one additional fund. But the bulk of the growth there has been in the original mandate and it has come through great results, great service and a notable absence of issues over the last couple of months, when the markets have been very volatile in this area. Florida is another opportunity like that and the numbers are well known how large that pool had been and what it started off as for us. And so, we look at that as a tremendous opportunity to pick up additional assets by restoring confidence in the pool and doing what we do with our other large institutional clients.
William Katz - Buckingham Research: Okay.
Ray Hanley - Investor Relations: Bill, we think it was a good win and that it opened additional opportunities leveraging of what we did do in Texas and it is a good competitive business. And as Ray is pointing out, the potential for growth of that account, if you can actually do a good and worthy service for the state of Florida namely, help them to restore confidence in the program. This is in all around good in and of itself, in addition to being good business from our point of view.
William Katz - Buckingham Research: This is still profitable [inaudible]
Christopher Donahue - President and Chief Executive Officer, Director: Yes.
William Katz - Buckingham Research: Okay. And then just another question... just looking at the earnings progression of the company in the last year or so, even the prolific growth in the money market, I know markets have been followed behind that. What if money market cycle feels like it is coming to the end here. What's going to be the driver to earnings growth if you really didn't grow earnings that dramatically, given the size of the growth in the money market in last year or so? So we're struggling to see how earnings look from here.
Christopher Donahue - President and Chief Executive Officer, Director: Well, Bill, the money market cycle never ends. It is an endless cycling of this and that, the next thing up and down and all around. But to get to your question about as maybe the Fed goes into pause mode or maybe the Fed starts at some later time going the other way who knows what they will do and when they will do it. Once again, we go back to the steady-eddy growth of money market fund as a business, as a percent of the money stock in the United States. We have never looked at the money market fund business as meeting or relying on Fed easings in order to make the growth rate. Yet that takes the growth rate into numbers like if you remember our chart of 14% growth rate in money market funds since 1994. Well, what I've always said is that on a steady-eddy basis it is a high single-digit number. Over the last five years it has grown at 12%. So, yes it has made the height higher because of the Fed easings. So, the first thing is the money fund business to us is still a steady-eddy grower no matter what the Fed is doing. Next point, is with the increase in sales that I talked about from $850 million to $1 billion a month, back to reaching the goals that we had set for the last year, that is a big positive. We are seeing the fixed income flows positive. We are seeing the equity flows less negative that we are looking forward to enhancing the core business in the equity and fixed-income business in '08. We said that many times on the conference that's what we were looking for in addition. Now if you also get a turnaround in the market, where you get a good move in valuations related to the stock market or specifically to growth fund, well, then that would be quite good for us in addition. Now there are other products that we are talking about too, we never really leave the area of new products, witness the large cap Kaufmann Growth Fund and some other things that we filed that we can’t get into a whole lot of detail on, but there is new products as well.
William Katz - Buckingham Research: Okay. Just one last question, thanks for taking all my questions. In the fixed income businesses, sort of curious some of your peers have been shipping to a more decisive credit stands more recently, I am just sort of wondering where you stand in terms of that business?
Christopher Donahue - President and Chief Executive Officer, Director: Well, Bill, if you look at our fixed income product line we tend to have funds that are dedicated to certain sectors and then we of course have a total return strategy as well. Sitting here today I wouldn’t be able to tell you about any kind of decisive move into more credit exposure. We certainly have improved our standing in fixed income from already high levels over the last seven or eight months, but we would not make any real-time comments about the direction of the portfolio.
William Katz - Buckingham Research: Okay. Thank you.
Operator: Our next question comes from Mike Carrier with UBS. Please proceeds with your question.
Mike Carrier - UBS: Good morning, thanks. There is actually one other question on I think the scale in the business. I think if you looked year-over-year, you are at, you are up like 35% and the margins down maybe 2 percentage points. And you still were able to generate 10% earnings growth. And I think, I remember back on [inaudible] there was a similar calling coins that maybe you can get some new business and then over time, you gain additional business and you could potentially see margins expand. I think you can definitely see, you guys gaining more business. But at some point, given how much growth you have seen in your asset levels, should we expect the margins to improve over time and if not like is it all the distribution class that’s playing on it for their other costs in the P&L that are also going up [inaudible].
Christopher Donahue - President and Chief Executive Officer, Director: Yes, Mike, the first comment is that, to me the glaring one that the loss in the market value of the equity products, which I mentioned caused 3.6 percentage change in our margin, is it a big glaring thing in there. When we lose that, there's not much you can do about that in a quarter basis and it's going to affect your margins big time. All your other comments, in terms of what else we can do, where else we can grow, are all relevant but where we are going to go from here that will have a... that will absolutely have a significant impact on us.
Mike Carrier - UBS: Okay. And then just one other question on the sales. You made some changes on the long-term side of the business both in the equities and fixed income and you have seen an improvement in some of the performance areas and I know this will pick up in the sales particularly on mutual funds products. Just trying to get a sense, you view this as some of the changes that you made on the distribution and the sales side of the business starting to take effect, is it the improved performance or is it some of the new products that you put in place? And then just channel wise where are you seeing most of that growth coming from?
Christopher Donahue - President and Chief Executive Officer, Director: Well, as you might expect, it is a confluence of beautiful circumstances. The confluence is of course adding new product centers of excellence, improving old products, example, capital appreciation fund continuing good performance in old products as well, consider total return bond fund and then the changes inside the various sales areas. So all of these things have to march together in order to advance the ball and so it's very difficult to say, 'oh well, it would have been this, it would have been that’. I can tell you that if you don't have a good sales program and a good performance program, then you will not advance the ball. So you need all of them. But to try and lean on one of the other moment to moment is pretty tough when all of them have to function well and that's what we're looking at right now.
Mike Carrier - UBS: Okay. Thanks.
Operator: Our next question comes from Craig Siegenthaler with Credit Suisse Group. Please state your question.
Craig Siegenthaler - Credit Suisse: Thanks, and good morning.
Christopher Donahue - President and Chief Executive Officer, Director: Good morning.
Thomas R. Donahue - Chief Financial Officer and Treasurer: Good morning.
Craig Siegenthaler - Credit Suisse: First question, on the back of your comments on the seasonality of money market flows in the second and third quarter. I was just wondering about the institutional channel, which I don't believe is impacted by this dynamic. How are institutional money market flows holding up in March and April and we have known these have been a very big driver over the last nine months [inaudible].
Ray Hanley - Investor Relations: Hi, Craig. It's Ray. The institutional channel actually does have the bulk of the seasonality because we talked about the state of Texas account and the growth there in Q4 and Q1 comes from collection of taxes and then usage of those funds brings the balances down on a regular basis in Q2 and Q3. So you booked that on the institutional side. There is also some seasonality in Q2 from tax payment. Now tax payments, happened all during the year for corporate taxes, but of course, the April 15th deadline has typically meant in the industry, a couple of percentage point decrease in money market assets and we generally have some impact from that. But that tends to be short-lived and so far, that does not look... that that's going to be very consequential, but that hasn't fully cleared yet either.
Craig Siegenthaler - Credit Suisse: And what percentage of your money market assets are institutional versus retail?
Ray Hanley - Investor Relations: Well, the institutional dollars are in the low 30s on the cash side. That would be primarily Texas and Florida. Texas in the low 20s and Florida around 10.
Craig Siegenthaler - Credit Suisse: We are down in terms of other defined business, endowments, foundation. Do you have a lot of that type of business or is it mostly on the retail through and treasury business?
Ray Hanley - Investor Relations: Well, retail, the labels are tough, I mean you could grow through the rest of our channel is the biggest. The comments I made on the institutional side would have been on the separate account money market side. Within the mutual funds the biggest areas would be the wealth management and trust and then the broker/dealer which broker/dealer would be close to what people think on this retail, of course, there is a broker intermediary. That's about $87 billion at the end of Q1. And then most of the rest of the $242 billion, in fact all of the rest of the $242 billion comes out of wealth management which is the bank channel, the institutional brokerage channel, the corporate channel and some other application.
Craig Siegenthaler - Credit Suisse: Okay. Second question on the compensation expense. Just broke out about 4 million of items that caused the first quarter to be a little higher than you probably expected. Should we view these as really kind of unusually high and take them out when you think about a run rate to build for the second quarter or is something [ph] going to be in there?
Christopher Donahue - President and Chief Executive Officer, Director: The only one to really take out was the $1.2 million that was additional expense in Q1 related to the 2007 bonuses where the Improvement in performance and in sales and asset growth and earnings led to higher bonus payout than what we had accrued for. So that was a catch up essentially in Q1. There is some seasonality in payroll tax and benefits. We have mentioned that at about $1.8 million but that tends to drift down during the year. So, the only number I would be thinking of taking out of the run rate is the $1.2 million catch-up accrual.
Craig Siegenthaler - Credit Suisse: And then actually just one final question on the fee waivers. We saw a little bit in the first quarter. Do you think this is going to… you experienced more fee waivers in the second quarter, based on more short-term interest rates or do you think we are pretty much down with that?
Christopher Donahue - President and Chief Executive Officer, Director: If you're talking about the fee waivers related to the very low interest rates that were in effect for purchase of repo, a number of weeks ago that is over. And I don't... we don't expect to see any of that coming on stream here either. And that's because we don't think that Fed will go down to the 1% level in terms of reducing rates which is where that issue would come back up again. But if the government repo market gets down to where we were buying repo at 28 basis points and numbers like that, then you could have a couple of days of that kind of thing, which is what we had I guess is a month ago now. But we don't foresee that happening.
Thomas R. Donahue - Chief Financial Officer and Treasurer: And Craig, I mentioned, although not a fee waiver, I mentioned the $2.6 million in additional expenses for fund prospectus language changes. That's not a fee waiver but it’s additional expense that will come through.
Christopher Donahue - President and Chief Executive Officer, Director: It's especially a cost to the advisor for some changes we're making to broaden the spectrum of investments that some of the funds can use. So, it's a positive thing but it is going to hit in Q2 as an expense.
Craig Siegenthaler - Credit Suisse: Got it. And is that the distribution expense line or that’s G&A?
Christopher Donahue - President and Chief Executive Officer, Director: That will be in G&A, likely be in
Unidentified Corporate Participant: Advertising and conventional and then that for our coming years and
Ray Hanley - Investor Relations: It will hit a couple of spaces because there are some training expense and some production expense for the materials. So think of it as G&A.
Craig Siegenthaler - Credit Suisse: So when we think about 2Q now, we take out roughly $1.2 million in the 1Q bonus accruals and then, we add back really the 2.6, this will be kind of a one-time advertising type expense.
Ray Hanley - Investor Relations: The one time that I would certainly call it an unusual expense.
Craig Siegenthaler - Credit Suisse: Got it. Okay. Thanks a lot for taking my questions.
Operator: Our next question comes from Ken Worthington with JPMorgan Chase. Please state your question.
Kenneth Worthington - J.P. Morgan: Hi, good morning. Most of them have been answered. Just more generically... some performance in equity lend has improved. I think broad based and kind of nicely over the last year or two years, you've made a number of changes within the research department probably some others as well. Can you just highlight what you’ve changed and anything in terms of compensation. Can you help us kind of understand why things have changed for the better and how sustainable that really is?
Christopher Donahue - President and Chief Executive Officer, Director: Ken, what we've changed is John Fisher went in a couple of years ago, so that would be under the label of leadership. One of the things that he put in was leveraging the professionals. So you got to have the people and the expertise, the professionals and then organizing them according to teams so that, if you look at the success of say the Kaufmann enterprise, or the MDT enterprise, those were all teams with excellent professional aim towards the common mandate. So we reorganize the equity department to have the analyst and the portfolio managers and in many cases, even the trader participated teams towards the mandate. So it’s the combination of the leadership, the professionals working in teams and yes, we did. We're always tweaking the compensation. We think we've got a very good program but we've increased the amount that's related to the performance and we think that all of that has come together to add to the better performance. And therefore, we have confidence that it would continue into the future. But as you know, investment performance is the least guaranteeable thing going future because of the lively markets.
Kenneth Worthington - J.P. Morgan: Okay. Thank you. That was all.
Operator: Our next question comes from Cynthia Mayer with Merrill Lynch. Please state your question.
Cynthia Mayer - Merrill Lynch: Hi, good morning. In terms of the possible fee waivers, can you give us a sense of what a 25 basis point fee cut would have in the way of an impact or 50 basis point cut?
Christopher Donahue - President and Chief Executive Officer, Director: Well, if there was a... you're talking about a Fed cut?
Cynthia Mayer - Merrill Lynch: Yes.
Christopher Donahue - President and Chief Executive Officer, Director: That would have no effect.
Cynthia Mayer - Merrill Lynch: No effect. How low would they have to go to have an effect?
Christopher Donahue - President and Chief Executive Officer, Director: It would have to go to where the steady state rate was about 1%. Then it would have some very minor effect and the reason for that is that you would then suspect that the repo rates would be around 1% and that the yields... and that's about what the funds would generate. And there are some funds that we have that are in certain types of offerings like 12b-1 funds and some broker funds, where the expenses are 100 basis points or 105 basis points. And therefore in order to have a positive yield, some waving would be necessary and that's what we went through a number of years ago when the Fed got rates down that low before.
Cynthia Mayer - Merrill Lynch: Right. And that's what I recall, it was really just the retail funds. Wasn't it like in the Edward Jones channel. It has the higher 12b-1 that were affected, right?
Christopher Donahue - President and Chief Executive Officer, Director: Exactly correct.
Cynthia Mayer - Merrill Lynch: And those are like what percentage of your money market is not that high, right?
Christopher Donahue - President and Chief Executive Officer, Director: The broker/dealer channel broadly is over 80 billion but they are not all priced at a level where you would have that kind of impact. We can't quantify the 1% scenario for you today, but it was not a big amount back in '03.
Cynthia Mayer - Merrill Lynch: Okay. And the list in distribution cost that you talked about in the press release and went over briefly, is that all in at this point or are there other fee negotiated or is there a higher run-rate than what we see in first quarter or is first quarter pretty representative?
Christopher Donahue - President and Chief Executive Officer, Director: You mean the changes are.
Cynthia Mayer - Merrill Lynch: The changes. Yes. The higher distribution cost, the higher waivers. I mean our trailers.
Christopher Donahue - President and Chief Executive Officer, Director: It's the permanent sport, as Ray said earlier, we are always in discussion and we have so many relationships that there is always something going on. So if we could ever say that it was permanent that would be tremendous.
Cynthia Mayer - Merrill Lynch: It's not like you negotiate once you negotiate them all once a year and that's it for this year.
Christopher Donahue - President and Chief Executive Officer, Director: No, no.
Cynthia Mayer - Merrill Lynch: No, okay. And did you renegotiate the Texfo [ph] contract recently, can you give us any color on that?
Christopher Donahue - President and Chief Executive Officer, Director: It's been over a year we won the mandate again and it was essentially like the prior version. There were modest changes but nothing significant.
Cynthia Mayer - Merrill Lynch: Okay. So, not that's not to be renegotiated or anything like that.
Christopher Donahue - President and Chief Executive Officer, Director: No.
Cynthia Mayer - Merrill Lynch: Okay. Great. Thanks.
Operator: Our next question comes from John Fox with Fenimore Asset Management. Please state your question.
John Fox - Fenimore Asset Management: Yes. Hi, Good morning. I have a number of questions. First, is from the accounting side. The $1.9 million on Blue Sky [ph] and registration expenses etcetera, that was reflected in a reduction in investment management fees. Is that correct?
Christopher Donahue - President and Chief Executive Officer, Director: Yes.
John Fox - Fenimore Asset Management: Okay. And do you see that continuing or is that kind of a one timer?
Christopher Donahue - President and Chief Executive Officer, Director: The assets grow, then we'll have to... we'll experience it again. If they reduce we won’t experience it. You should keep it in the number. That should not jump by that amount again. But it is in the run-rate more or less at this point.
John Fox - Fenimore Asset Management: Okay. And then if I understood Tom's comments, equity asset reduction was 3.6% impact on margin.
Christopher Donahue - President and Chief Executive Officer, Director: Right. We had about $11 million for the quarter in revenue impact from the equity asset decrease, which was mostly from the markets.
John Fox - Fenimore Asset Management: Okay. And that was primarily Kaufmann fund because there are higher fee or ?
Christopher Donahue - President and Chief Executive Officer, Director: Well, it would have been across all the funds of course. I mean if you look at the indices NASDAQ, I guess was down 12 and S&P was down 8 or 9. International, I think was somewhere between there and so it would have impacted pretty much all the funds. Kaufmann by virtue of its size and fee rate would have of course been a significant portion of that impact in the quarter.
John Fox - Fenimore Asset Management: Okay. I guess I’d just go back to the early questions on the call about the lack of margin and I looked at the 11 million and a 3 million net for the extra day and you do all the math, that’s $0.09. I mean it seem there is a lift in the equity market there is leverage here.
Christopher Donahue - President and Chief Executive Officer, Director: Well, we hope so.
John Fox - Fenimore Asset Management: Okay. And I was wondering if you could expand some more on [inaudible] call, about Sigma, potential for future downgrades, how your dealings are going with them, I understand in March they were selling assets I think around $0.96, if you have any views on how that's going for them in April and just give us a little bit more on Sigma and the risks there at this point?
Christopher Donahue - President and Chief Executive Officer, Director: Well Sigma... our comments on Sigma will be largely... in fact will exclusively be to repeat what the rating agencies have put out on Sigma and so if you haven’t already done so, I think looking at the Moody's note in early April when they downgraded their short-term rating from P1 to P2 and then the S&P note a few days later when they essentially reaffirmed the short-term rating, each downgraded the long-term ratings, but with our exposure out until August and with the money market funds, we are much more focused on the short-term, but generally those notes would comment on the higher asset quality, but the liquidity challenge that the Sigma faces... they continue to pay on time and in full we had a significant payment a few days ago. And we talked about the exposure going down to $650 million by the end of May. And so that's just... that continues to move along as it has been and I don't know that we would have any comment beyond that given our position as an investor and we are limited in what we can say unless it has been out in public domain.
John Fox - Fenimore Asset Management: Okay. Thank you.
Operator: Our next question comes from Robert Lee with KBW. Please state your question.
Robert Lee - Keefe, Bruyette & Woods: Thanks. Good morning guys.
Christopher Donahue - President and Chief Executive Officer, Director: Good morning.
Robert Lee - Keefe, Bruyette & Woods: Quick question on the share repurchases, little like in the first quarter compared to kind of what your historical, I am sorry, I don’t know if there is anything in particular than they have driven that or how should we anything... any reason we should think that you wouldn’t return to kind of your normal trend going forward?
Christopher Donahue - President and Chief Executive Officer, Director: Having cash was a good idea we thought and so that is one of the factors that caused the amount of share repurchase we did in the first quarter. As for the future, we remain open and active and contemplating and thinking about and loving the idea of purchasing the stock. And so we would go through our disciplined dedicated approach to doing that in the future as well.
Robert Lee - Keefe, Bruyette & Woods: Okay. And a follow-up question on flows, I mean you talked about... clearly, you've seen some improvement in equity fixed income from performance, but just, have there been any kind of changes in how your distribution is organized or structured, I know you did a change in leadership there I guess maybe a year ago or so, but I don’t know if there is anything there that you think is helping or you expect will help accelerate some of the improvements you've seen there?
Christopher Donahue - President and Chief Executive Officer, Director: Yes Rob, it was a... about a couple of years ago when Tom Territ came in to take over the whole operation. Several months ago, we reorganized some of the responsibilities and some of the leadership on the broker/dealer side, focusing some people on cash accounts and some people on what's going on in the broker dealer world. So, we have revamped some comp in there and we think all of those things go together to improve the whole operation and we are seeing it in three dimensions because of the sales and the improvement in the net flows as well. And on an intangible... it was during the quarter that I went to our sales meeting, which we had and there is a lot of electricity when you put 168 wholesalers together. It is a energy-generating situation and it's reflecting itself in the sales marketplace.
Robert Lee - Keefe, Bruyette & Woods: Okay. Great. Thank you guys.
Operator: Our next question comes from Michael Hecht with Banc Of America Securities. Please take your question.
Michael Hecht - Banc Of America Securities: Hi guys. Good morning, how is it doing?
Christopher Donahue - President and Chief Executive Officer, Director: Hi, Good morning.
Michael Hecht - Banc Of America Securities: So, I just wanted to come back to the comment on... I guess, close to April. Did you guys said you are up about $5 billion in the money market mutual fund assets to 247 in kind of April 15th date come and gone. Do you expect any other kind of seasonal impact in that piece of your business setting aside the separate account side?
Christopher Donahue - President and Chief Executive Officer, Director: You can't say for sure, Mike, because we've seen it take some time, sometimes for the payments to work their way through the tax payment to work their way through the system and fully clear. But, I would tell you that the noise right around the 15 seemed low to us relative to other year.
Michael Hecht - Banc Of America Securities: Okay. That's helpful. And then can you talk about the trends you're seeing in money funds, prime funds versus the government money markets? I mean I guess I would just think that there was a large mix of government money funds that might be more of the fight to quality money versus the flows you are seeing on the prime side?
Christopher Donahue - President and Chief Executive Officer, Director: As we've said, all through since the credit price is really can't stop the flows, the flows have been disproportionate into the government funds than the bulk of the inflows. And we've had growth on the prime and on the tax-free side, but it's been weighted towards government and has been for some time now. When we look at this, it's impossible to predict the persistency of that, but we're not of the view that it necessarily flows out as quickly as it came in. There are some of the cash management alternatives that we're in favor before the crisis have now gone out of favor and money funds in general and are in particular have come through a pretty good stress testing and so we are not... we feel pretty good about where we sit in that business, but the rate of flows of course is impossible to predict.
Michael Hecht - Banc Of America Securities: Okay. And then just switching over to the equity separate account outflows it should kind been a bit of a disappointment. Can you just touch on the drivers there again and then on the MDT side, I mean, it just closed there, it seemed softer than expected, I mean, is it performance? Do you think it's just quantitative [ph] products being at a favor, I mean, little bit more on what's going on there?
Christopher Donahue - President and Chief Executive Officer, Director: Well, in terms of the overall equity flows. As I mentioned, about two-thirds of them for the quarter were the index funds. Okay. So that's the fact there they are. The flows on American leaders remain negative and I guess they have been running about $100 million a quarter negative and continue to do so in the large cap value equity area.
Thomas R. Donahue - Chief Financial Officer and Treasurer: And then on the institutional side, the SMAs... we have two strategies there that have attracted the bulk of the inflows over the period where we've had a significant growth there. MDT is all cap core strategy continues to perform very well and we've had a distribution challenge there because it have been closed in the major wirehouse platforms. We reopened it just about a year ago and so we are working to get traction again there, but the performance has been very strong and we think that that will be able to write that. The other changes on the strategic value side where again the performance within this category has been strong, the mutual fund strategic value hit four stars in Q1 and… but it's a dividend paying strategy and with the requisite financial exposure, and it's a product that was up 30% In 2006 attracted a lot of money into 2007 and had the kind of year that dividend paying portfolios with financial exposure had in 2007. So, we've seen some of that money that hadn't been in the product as long turned out to not have as much persistency as we would have hoped. Now, having said that the performance has been so strong that when you talk to intermediaries and gatekeepers about the product, we've expanded its distribution opportunities that's recently been put into a couple of the top tier, top four broker level, broker wirehouse programs. And so we think that the seeds have sown for good growth there when and add that strategy comes back into favor. And if you look at a dividend paying strategy over time, you can find a lot of support for people thinking that that will be an important part of what investors want, with retirement and other trends looking for income.
Michael Hecht - Banc Of America Securities: Okay. And just a last question on consolidation and you guys have been surprised that there hasn’t been more activity consolidation in the money translation in particular given all the volatility of short end. And are you seeing any pickup in kind of discussions with folks and what it's going to take to actually have some deals take place?
Christopher Donahue - President and Chief Executive Officer, Director: Well, we are seeing... we are having discussions as I mentioned in my remarks, there are various things that are out there. But don't forget, as I've said before that as long as an organization does not have untoward redemptions, you can run a money market fund almost at any size into the future. And so it takes more than five minutes for the whole episode to settle in and then decide what to do. And whether managing a money market fund makes a lot of sense for some of these players. We can look at it from our perch on the tree and saying with great confidence that it makes no sense for many of these players to be in this business and as they ought to be doing it with us. But our view does not necessarily control as quickly as we would like. So we keep knocking on the doors. And I don't have an event that would tell you when as and if more of these would come on stream , it’s really hard to put them on the calendar. But we are still optimistic that the things like that are going to break loose for us.
Michael Hecht - Banc Of America Securities: Okay. Fair enough. Thanks a lot.
Operator: Our next question comes from Robert Lee with KBW. Please state your question.
Robert Lee - Keefe, Bruyette & Woods: Thanks. I have one quick follow-up really a modeling question. But is there any reason that we should expect to see pretty rapid decline in the deferred sales commission asset, is it going to continue, I don’t know maybe with the pick up in sales volumes you're going to see more C share sales, and that’s going to start plateauing and maybe the run rate in the DSE may flatten out.
Christopher Donahue - President and Chief Executive Officer, Director: Rob, I would tell you it's unlikely to flatten out, I mean we think it will continue to trend downward the D shares of course have diminished in relative proportion of sales and further in our last funding arrangement more of the sale of that deferred sales commission adds that now qualifies for sales treatment. So significantly less than the assets comes on to the balance sheet to be amortized. The other thing I would point out is that the decrease there in the amortization expense would also... you'll also see the decrease on the non-recourse debt expense. And there is a corresponding reduction in the other service fee revenue line item, all of which roughly net out on the income statements, if you would isolate the B Share portion of those three line items, you'd see them roughly netting out and all of them in decline. And that's another factor when you look at the other service fee revenue line item to keep in mind that those fees are going down. Of course all of that is non-cash to us by virtue of the funding arrangement we have.
Robert Lee - Keefe, Bruyette & Woods: Okay. Great. Thanks.
Operator: Our next question comes from William Katz of Buckingham Research. Please state your question.
William Katz - Buckingham Research: Hi, just a couple of follow-ups. Could you quantify the exposure to the American Leaders strategic value and the index funds?
Christopher Donahue - President and Chief Executive Officer, Director: The index funds are about $2 billion... the American Leaders is...
Thomas R. Donahue - Chief Financial Officer and Treasurer: Is $1.2 billion, what other one were you asking?
William Katz - Buckingham Research: The strategic value.
Thomas R. Donahue - Chief Financial Officer and Treasurer: Strategic value. The mutual fund is that about $920 million in the mutual fund.
William Katz - Buckingham Research: And on the separate account side?
Christopher Donahue - President and Chief Executive Officer, Director: Separate account is north of $2 billion. But I don't have the number readily available. But it's north of $2 billion.
William Katz - Buckingham Research: And the other question I have is just back to the taxable item, maybe I didn’t understand it correctly so I want to clarify, when you gather those assets, the incremental growth on those assets, has it been solely money market or has there been intangible evidence of growth of other products.
Christopher Donahue - President and Chief Executive Officer, Director: That is in a money market operation. There is two different money market funds. But that is a money market cash management operation. That's for the municipalities in those jurisdictions and it is a cash management operation.
William Katz - Buckingham Research: I understand that. I just want to make sure [inaudible] be able to cross-sell longer-term products within that population of investors?
Christopher Donahue - President and Chief Executive Officer, Director: No.
William Katz - Buckingham Research: Okay.
Christopher Donahue - President and Chief Executive Officer, Director: So the strategic value is about $2.2 billion on the SMA side.
William Katz - Buckingham Research: Okay, great. Thank you very much.
Operator: Ladies and gentlemen, there are no further questions at this time. I will turn the conference back to management for closing comments.
Christopher Donahue - President and Chief Executive Officer, Director: That concludes our call and thank you for joining us today.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you all for your participation.